Operator: Good day everyone and welcome to this Amdocs first quarter 2008 earnings release conference call. Today’s call is being recorded and webcast. At this time I will turn the call over to Mr. Tom O’Brien, please go ahead sir.
Tom O’Brien: Thank you Jason, I’m Tom O’Brien, Vice President of Investor Relations for Amdocs. Before we begin I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company’s management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components and results of operations of the company’s business and to have a meaningful comparison to prior periods. For more information regarding our use of non GAAP financial measures including reconciliations of these measures, we refer you to today’s earnings release which will also be furnished to the SEC on form 6K. Also, this call includes information that constitutes forward looking statements. Although we believe the expectations reflected in such forward looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risk and uncertainties that may cause future results to differ from those anticipated. These risks include but are not limited to: the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company’s filings with the SEC, including in our annual report on form 20F for the year ended September 30, 2007 as filed on December 3, 2007. Amdocs may elect to update these forward looking statements at some point in the future, however the company specifically disclaims any obligation to do so. Participating in the call today are Dov Baharav, President and CEO of Amdocs Management Limited, Eli Gelman, Executive Vice President and COO and Tamar Rapaport-Dagim, CFO. Following our prepared remarks, we’ll open the call to Q&A. Now, let me turn the call over to Dov Baharav.
Dov Baharav: Thank you Tom. Good afternoon ladies and gentlemen. We are pleased to report our results for the first quarter of fiscal 2008. Revenue growth record $742 million while non GAAP earnings per share grew to $0.56. We are executing on our plans for fiscal 2008 and we expect that we will achieve our goals for the year. During the quarter we had a number of important wins and as a result a substantial increase in our backlogs. At AT&T we signed a major extension and expansion of our managed services business. This is one of the significant deals that we mentioned last quarter which should [unintelligible] to achieve an acceleration of our growth rate in the second half of this fiscal year. Under this new win, we will take on responsibility for supporting existing customer care and billing platforms, including systems that support the Old Bell South territory. We believe that we are the best choice for service providers who want to go to a managed services model. This is due to our unique dual expertise in both IT systems and business processes for our industry. We are also pleased to expand our relationship with Sprint as we have been selected for a [unintelligible] there zone winex initiative. Amdocs will provide customer experience systems for ordering, service activation and provisioning, CRM, cell service and billing. In addition to this win, another new [unintelligible], we are encouraged with the growing acceptance of our offering in emerging markets. This was demonstrated this quarter in wins with customers in India, Latin America and Asia. We see emerging market as growth area for Amdocs in 2008 and beyond. We achieved our wins this quarter because we both execute and innovate. We introduced our customer experience systems or CES blueprint in November and our CES 7.5 portfolio last week. As you know, the key for a service provider to be successful in this transforming market is their ability to create a better customer experience by providing services that are simple for the consumer, valuable and personalized. This requires that they change the way that they do business by focusing on the customer. We Amdocs are best suited to support carriers with our CES 7.5 offering and [unintelligible]. This is the most comprehensive offering ever for the industry and will continue to widen the distance between Amdocs and our competitors. We are continuing to see demand for our products and services around the world. Our pipeline includes broadband, cable and satellite deals, new managed services deals, emerging market projects, strategic consulting initiatives and many other opportunities. We hear the same things that you do regarding macro economic conditions and we continue to monitor the potential impact on our industry and on Amdocs. When analyzing our business, we do a detailed and bottom up basis, we have found that the deals that we signed and our ongoing dialogue with our customer regarding future business, provide us with the basis for our reiteration of our guidance. Furthermore, Amdocs as a unique business model, that includes products, services and managed services which provide predictability and stability. This business model is going to be fairly resilient and provide us with growth opportunities even when customers are more focused on cost cutting than on growth. To summarize, we see growth in our market and the deals that we have. We [unintelligible] many business quarter and we are working now on building our plan for the rest of the year. We believe that the business we have signed and the negotiations that we [unintelligible] with our customer will provide and are providing the basis for our reiteration and acceleration in the second half of the year. And by that, let me now turn the call over to Tamar for the financial review.
Tamar Rapaport-Dagim: Thank you Dov. Our first quarter revenue was $742.3 million with percentage growth of 7.4%. Our non GAAP EPS which exclude acquisition related costs and equity based compensation expense net of related tax effect increased to $0.56 per diluted share. GAAP EPS was $0.44 per diluted share. I’ll spend a minute now on a few P&L item. Please note that I’m referring to our non GAAP results which exclude acquisition related items and equity based compensation expense. As we forecasted last quarter, license revenue decreased in Q1. One reason was timing. As we are finishing up some projects and some of the deals signed in Q1 are just getting started. We also had some customers with strong services activity but limited license in the quarter. We expect an increase in license revenue next quarter. Operating margins were up slightly compared to Q4 as strong margins from services as well as leverage on operating expenses more than offset the impact of lower licenses. Overall we expect profitability in Q208 to increase slightly when compared to Q1, even after taking into account the new AT&T managed services deal. As expected, other income decreased this quarter due mainly to lower interest income from our investments and foreign exchange impact. We expect about the same level from these line items next quarter. The effective tax rate in Q1 was again lower at approximately 12%. We continue to expect that our non GAAP effective tax rate for 2008, excluding the tax effect of acquisition related costs and equity based compensation expense to be in the range of 13-15%. Free cash flow in the quarter was $59 million. Included in the calculation of this number was approximately $35 million cap ex. DSO at the end of the quarter was 65 days, up slightly from last quarter and billed accounts receivable increased slightly to $73 million in this quarter and deferred revenue was $166 million this quarter, a decrease of [$8 mil] from last quarter. We expect that unbilled receivables and deferred revenue will fluctuate. Our 12 month backlog which includes contracts committed revenue from managed service contracts letters of intent [unintelligible] an estimated ongoing support activities was up strongly to $2 billion $300 million at the end of the quarter, an increase of $130 million from the fourth quarter. A large portion of this increase was due to the new AT&T managed service deal. During the quarter ended December 31 we used $72 million to repurchase approximately 2.2 million shares at an average price of $33.31 per share. Looking forward, our guidance for the second quarter of fiscal 2008 is for revenue of approximately $757 to $767 million and non GAAP EPS of $0.57-$0.59, excluding the effect of acquisition related charges and excluding equity based compensation expense, off approximately $0.05-$0.06 per share net of related tax expenses. We look at GAAP EPS is expected to be approximately $0.44 to $0.47 per share. Our EPS guidance for Q2 is based on the fully diluted share count estimate of approximately 222 million shares. For fiscal 2008 we are reiterating our guidance of revenue of approximately $3.05-$3.15 billion and non GAAP EPS in the range of $2.29 to $2.39 excluding the effect of acquisition related charges and excluding the effect of employee based equity compensation expense of approximately $0.20-$0.23 per share net of related tax effect. We look at GAAP EPS is expected to be approximately $1.82 to $1.95 per share. Our fiscal 2008 guidance is based on the fully diluted share count estimate of approximately 222 million shares. I want to emphasis that the forecasted share count I just gave could also include the effect of any future share repurchases that we may conduct in 2008. Now let me turn the call back over to Dov.
Dov Baharav: Thank you Tamar. At this time let me open the call to Q&A.
Operator: (Operator Instructions) We’ll go first to Liz Grausam at Goldman Sachs, go ahead please.
Liz Grausam – Goldman Sachs: Thank you very much, Dov I know you touched a little bit on the macro environment but certainly given how much volatility we’re seeing in the market and concerns around US spending and IT spending, wanted to hit a little bit on what your customers are seeing and what your pipeline is looking like considering you’re seeing kind of a two pronged demand pipeline of both cost reducing managed services contracts and kind of legacy environment as well as support for new service lines such as Sprint’s Wimax. So if you could kind of touch on those two points for carriers maybe looking to cut costs in the current environment but also where you see any volatility around project spending for new service launches across the industry.
Dov Baharav: Liz you are touching exactly the two many vectors in our activity and to some extent we try to emphasize during this conference call the fact that when we are ignoring for a second what we hear in the news and what’s going on in the macroeconomic, we see strong demand to our products and services and actually the first quarter was a very good quarter regarding sales and you saw the backlog increase by $130 million and that is used to one the fact that we can help our customers to achieve better results in this environment where they need to cut costs. So the managed services deal that we got with AT&T which helped us to increase the backlog and actually reflect the trend in the industry to reduce costs and Amdocs can on one end provide them the efficiency the effectiveness and in some cases even modernization and at the same time to reduce the costs. So our managed services capability provides the carriers predictability in cost reduction, it provides us predictability and visibility to the future. So we feel more comfortable in this environment by increasing the complement of managed services in our activity and encouraged by the demand to this managed services by our customers. At the same time, as they need to compete, so for that they need systems that will enable them to improve the customer experience. And we just rolled out a customer experience 7.5 or Amdocs 7.5 which enables them to improve their customer experience. This is a breakthrough release of Amdocs, very comprehensive, enables them to add the digital advertising and content to their offering, to be more agile, to leverage business processes that Amdocs offers and by that actually achieving better results and better customer experience in the market. So we think that this dual pronged strategy is paying off for us and we hear the macroeconomic, we think that we have a lot of assets that are preparing the company for such periods.
Liz Grausam – Goldman Sachs: And just to touch on the business model of the managed services given how large a component that is of growth going in 2008 and the margin performance that you saw this quarter in services, do you feel the organization is now right sized from an offshore head count perspective, from a consulting and services standpoint, to offer low cost solution into the market and how are you competing against some of the more traditional services vendors like Accenture and IBM in these bids which are really a bit more cost focused than we’ve traditionally seen you approach the market with.
Dov Baharav: We are, I would say, well equipped with our offshoring capabilities. We have more than 3,000 people in India and we open our second center in India. We have 1,200 people in China. But the important thing is that Amdocs is not a body shop. And when we offer managed service, we offer to the carriers all the experience of Amdocs of managing large scale activity which requires a understanding of the business, understanding of the product, understanding of how saving can be achieved on one hand and how the business results can be achieved on the other hand. So we feel that we have the right tools to manage it and bring the savings to the customer and on the other hand we have a strong basis in offshore and in consulting in order to enable this.
Operator: Thank you, we’ll take our next question from Sterling Auty with J.P. Morgan, go ahead please. We actually seem to have a little bit of technical difficulty, Mr. Auty if you could please press star one again. We’ll go again to Sterling Auty, go ahead sir.
Sterling Auty – J.P. Morgan: Yes, my questions are first, do you talk about the new AT&T contract in terms of when it will actually start contributing revenue, will it start in the second quarter or is actually only in the back half of the year and then I have a follow up.
Tamar Rapaport-Dagim: The project starts later this quarter and so all of this is already imbedded into the back of the three quarters.
Sterling Auty – J.P. Morgan: Okay and then the follow up is macro, can you talk about how sensitive your revenue might be to when AT&T talks about a consumer slowdown, how should we think about the current structure of your business and how sensitive it might be to wireless subscriber growth or a slowdown in wireless subscriber growth.
Dov Baharav: Sterling, thanks for the question because it allows us to actually share with you the fact that we are relatively non sensitive to the number of subscribers. When I’m saying that in terms of there are some contracts or pieces of contracts like with managed services where the carrier are paying per bill and therefore there will be much less subscribers they will eventually pay us less. But in most of the projects we are dealing with, we are less sensitive to the subscriber count because we are providing projects on the basis of the overall application, the overall licenses, conversions and activities of this nature that are not directly related or linearly related to the number of subscribers. So we are related to it but not very sensitive to it.
Sterling Auty – J.P. Morgan: Great, thank you.
Operator: Thank you, we’ll take our next question from Tom Ernst with Deutsche Bank, go ahead please.
Tom Ernst – Deutsche Bank: Hi, good afternoon, thanks for taking my questions. One quick, I missed the backlog number, would you mind repeating that and then my main question was, reflecting back on what’s happened over the last year or so, you’ve talked about a couple of key customers holding up some projects and it seems like some of your big customers have come back to the table. As you look forward, what do you think from your new growth initiatives might give us a spark of upside to perhaps get growth back into the double digits. Would it be some of the selling down into the infrastructure, the provisioning of selling into the content space or perhaps the cable industry? What do you see in the pipeline that gives you the most encouragement?
Eli Gelman: Tom, first of all the backlog grew by $130 million, one three zero, in terms of the $2 billion $300 million. Now in terms of the growth, we do not believe that it will come from one certain area only, one of the strengths of Amdocs and why we believe Amdocs is a relatively a safe harbor for the telecom industry when the weather change is because we actually enjoy several dimensions of our business and the reason why we believe that we can get to the double digits is a combination of several growth engines. One that Dov mentioned which is the managed services and AT&T is definitely a very significant tailwind in this direction, the other ones would be the broadband and the cable business, we’re making progress there. We work on new deals in this area so that might provide some of the growth. Then on top of it you need to remember that Amdocs is the best position to address consolidation and convergence needs of the large carriers of the world and this convergence is still a very important component in their offering and the consolidation continues and as we’ve seen in the last quarter, all over the world from France Telecom and AT&T buying new assets and so and so forth. On top of it, we have the emerging markets. We had significant number of wins in the last couple of quarters in the emerging markets including this last quarter one and we see demands for business and services and products in the emerging markets and on top of all that probably in the later on in the year and in the following years, the digital commerce and aspect of content related subjects where we invest quite a lot of money in R&D as well. So the bottom line is that we feel that it’s going to be a combination of many aspects and that’s part of the strength of Amdocs.
Tom Ernst – Deutsche Bank: Eli it’s interesting that you mentioned managed services first because over the last couple three years that business has stayed constant as a percentage of your revenue. Are you seeing a pipeline build of big opportunities there?
Eli Gelman: We see, yes we see a strong pipeline on the managed services deal. Obviously AT&T moved from the pipeline to contract but we see several other opportunities in the managed services around the world yes.
Operator: Thank you, we’ll take our next question from Scott Sutherland with Wedbush Morgan, go ahead please.
Scott Sutherland – Wedbush Morgan: Hi, great, thank you, good afternoon. A couple questions, first maybe can you talk about the few inputs that might have caused the gross margins to expand on the services, was it just more efficiency of the number of IT professionals, was it the offshoring, what went in there?
Tamar Rapaport-Dagim: It was a combination of several factors. Obviously as we are using more offshoring as well as the [algoliver] organization that is building the [padologies] and efficiencies into our project managers into our project management we gained on the service profitability. However some of it had to do also with some fluctuations of foreign exchange that you see offset to that in the final income line so we believe that it’s a combination of several factors, not necessarily a sustainable at that level going forward, we have some pressure coming from the managed service deal. That is built already into the guidance that we provided.
Scott Sutherland – Wedbush Morgan: Tamar my second question is you know last quarter you talked a lot more bullishly about the broadband opportunity and can you talk a little bit about that, are you gaining share, are you winning smaller deals or are there some big deals out there that you could win that are still in the pipeline?
Eli Gelman: Scott we talked about several deals last quarter. No doubt that the most significant of these deals was the AT&T managed services deal and several others were won also. During this quarter we did not specify them by name. We’re still working in our pipeline in deals in the broadband and we believe that these deals would be important for growth.
Operator: Thank you, we’ll take our next question from Priscilla Law with Merrill Lynch, go ahead please.
Tal Liani – Merrill Lynch: Yes hi this is Tal Liani can you hear me? Thank you. I have a few questions, I’m going to try to bundle them altogether to two questions so I can get them all into the call. The first one is about AT&T. First, what is the percentage of AT&T of sales given or what could it be given that you’ve won a few significant deals with AT&T and if you can sum it all up, AT&T wireless and wire-line as much as you give disclosure to it. And then specifically on this recent deal, some of your managed services deals, you have to make investment, you have to sort of “acquire” the business from the carrier and then you manage it, you put some money into innovation [unintelligible] of the operations and recruit more people et cetera and some you don’t. So can you classify this project, how much effort does it require on your side, I understand it’s a very long term deal so if you can also speak about the margins in the [aret] deal of the contract, so that’s my first question.
Dov Baharav: So maybe Tal, try just to shed some light on the deal and it’s multiple projects and mainly customer care and billing and when we are looking at our potential in activity it looks like we gain a lot of success with their mobility, we have a lot of success with the wire-line and so it’s still a big potential in AT&T. There are many areas that we do not have yet in the activity we are small percentage, I would say not a big percentage of their expenses so we think that we can help AT&T moving forward doing more stuff. Regarding the margins and the [unintelligible] of the margins and the level of investment that is needed, this bill does not include any large cash investment, it does not include beta centers so it doesn’t have the same characteristic of the string deal and so there will be no upfront large investment, however, every other deal like that, in the initial stages we would have low margins as Tamar said and which will go later on to get to the margin of the company and [we would do start thing] the improvement in the near future so all the question on the margin of course are in the guidance already so the number that we presented including all the impact of this deal.
Tal Liani – Merrill Lynch: Super, by the way did you disclose in the past AT&T percentage of your revenues?
Tamar Rapaport-Dagim: In the annual 20 yes we have disclosed that.
Tal Liani – Merrill Lynch: Which is…
Tamar Rapaport-Dagim: 22%
Tal Liani – Merrill Lynch: And that includes also the wireless side, so Cingular, AT&T side as well as the wire-line side?
Tamar Rapaport-Dagim: Includes all activities [overlay] of all product lines.
Dov Baharav: [overlay] including wireless.
Tal Liani – Merrill Lynch: Okay, my second question is about the opportunities for 2008. Can you discuss the opportunities in the cable market, satellite market, how much of it do you think will materialize in 2008, at least what are your expectations given that it looks like there is some pressure on some of the carriers there to modernize the systems as soon as possible, so how realistic is it to expect some deals already in 2008 and then just tidbits on the P&L. Income tax payable went down substantially, if you can explain it and also financial income went down, just these two items.
Eli Gelman: Tal, I’ll try to give you an answer on the first part of the second follow up question. In terms of the broadband and cable and satellite, we believe that we’ll sign a new deals in this space in ’08 and revenue that we can recognize actually according to the right proportion or the right probability are in our guidance and numbers. The new deal is on one hand quite immanent on the other hand this is a relatively conservative industry so we take this into account when we calculate the probability. You also have to consider the competitive landscape as well. We are the only company that invested and still investing heavily to make its business systems compatible with the broadband cable direct broadcast and other broadband MSOs and as such we have an imminent, an obvious clear advantage on the functionality side, the scalability side and so and so forth so we believe that we will see more bills in this broadband space. And we also believe that the new announcement of Amdocs CES 7.5 which we did only last week would be an additional accelerator as it is the first and only system that covers the whole space of broadband, wireless, wire-line and other line of businesses. Deal with the digital commerce and have a common user interface, common enterprise product catalog and many other features, better integration, many other features that it has and therefore should help us also in this space.
Tamar Rapaport-Dagim: Regarding income tax payable, we’ve implemented this quarter a new accounting guidance of [unintelligible] 48 that deals with tax reserves. Overall the implementation did not impact the balance of the tax reserves but required some classification between short term liabilities and long term liability, so this is the change in the balance you see. As to finals income, our portfolio has some sensitivity to interest rates, we incurred some reductions in the interest income on the portfolio so [unintelligible] declined that may impact us later on. In terms of the foreign exchange we alluded to, we have an extensive hedging policy but we’re not bullet proof so some crazy fluctuations in currencies as we saw this quarter, the Canadian dollar, Australian dollar and so on did have some impact on the finals income line.
Operator: Thank you and we’ll take our next question from Peter Jacobson with Brean Murray, go ahead please.
Peter Jacobson – Brean Murray: Thank you. Can you just describe generally what the mix is between wireless and wire-line revenue and maybe a distinction on trends that you see in those two markets?
Tamar Rapaport-Dagim: We see around 40-45% on the wireless and around 30-35% out of a total revenue of the wire-line. Around 10% coming from the broad and the satellite and 10% from directory business and it has been similar in that respect to Q4 of ’07. All of these services are converging over time so not necessarily the differentiation will be sustainable going forward.
Peter Jacobson – Brean Murray: Okay so that you think that mix is representative going forward?
Tamar Rapaport-Dagim: What I’m saying is that over time some of the carriers converge these business lines so we may have projects where our solution is implemented both on the wireless and wire-line side, it’s not necessarily one of separate business lines, we see many carriers today move to internal structure where they’re more focused on the business enterprise customers versus the consumer customers rather than what was the type of network that they’re providing.
Peter Jacobson – Brean Murray: Okay, thank you very much.
Operator: Thank you, we go next to Karl Keirstead with Kaufman Brothers, go ahead please.
Karl Keirstead – Kaufman Brothers: Yeah, hi, good afternoon, I know you touched on license sales but it came down sequentially by quite a margin so could you add a little bit more color and when you say it’s going to recover in the March quarter, could you give a little bit more specificity as to what level it might rebound to and then I’ve got a follow up, thank you.
Tamar Rapaport-Dagim: License revenue depends on the level and mix of the business and project that we sign. Many of our license sale is included in the project does include both license and services and therefore recognize based on the progress of the project. Going forward we expect a pick up based on the wins we had already in Q1. We know of a project that we won already that has started and going to impact the revenue already in Q2.
Dov Baharav: One accelerator to the license revenue could be the CES 7.5. This new comprehensive rollout to the market already captured several substantial orders and we believe that very soon we start implementing the system in large projects which will help the license revenue.
Karl Keirstead – Kaufman Brothers: Thank you and then as a follow up, in the September quarter your European revenues fell of quite a bit down to about 18.5% of revenues, did it stabilize at that level in the December quarter, could you add a little color, thank you.
Tamar Rapaport-Dagim: In the December quarter it’s short of 20%. I don’t think, not necessarily it’s stabilizing at that level, it may change from quarter to quarter.
Operator: Thank you, we’ll take our next question from Ben Abramovitz with Icap Securities, go ahead please.
Ben Abramovitz – Icap Securities: Good afternoon, thank you for taking a question. I’m curious more about trends, your DSOs are in the mid 60’s now, they’re at the highest levels they’ve been for several years and continue to trend higher. Deferred revenue, I know you said would fluctuate, but also has been declining now for actually several years and I’m curious, when you look at those trends, at what point do you expect them to flatten out or reverse and what’s been driving these trends or what would continue to drive these trends?
Tamar Rapaport-Dagim: Regarding DSO, we expect it to go down back in the second quarter so that is more of a onetime fluctuation versus the 60-62 we had for several quarters now. With respect to deferred revenue, while we are continuing to win new business and see the increase in our backlog, we expect that new business will not necessarily come along with up front advance payment as was the case in the past. Customers in this environment are less willing to pay up front for projects and licenses and we see more matching between the progress of the deal of the project and the payments [unintelligible] from the customers.
Ben Abramovitz – Icap Securities: Okay, so do you expect this quarter to be the peak for DSOs for a while?
Tamar Rapaport-Dagim: We expect next quarter to be lower.
Operator: Thank you, we’ll take our next question from Shyam Patil, go ahead please.
Shyam Patil – Raymond James: Hi, thank you. It sounded like last quarter you were expecting to sign a couple of large deals during the first half of this fiscal year which would contribute revenue during the second half of the year, perhaps even one of them being cable but now it’s sounding like you’re talking about one large deal which is AT&T and then some smaller ones. Did the larger one get pushed out or was it smaller in scope, could you just talk about that a little?
Eli Gelman: Well we mentioned last quarter that we’re working on several deals, we did not specify the size of them and what we are sharing with you now is that one of the most significant ones in this list was AT&T and we had the other deals that some of them we won, some of them we’re still working on them and we’re still working on broadband deal as well. And as soon as we’ll be able to conclude each one of them we’ll share it with the market.
Shyam Patil – Raymond James: Sure, okay and Tamar could you talk a little bit about cash flow, it was below net income again you know when should we expect that to change, what’s driving that right now?
Tamar Rapaport-Dagim: There are a couple factors impacting that. One is the accelerated capital investment, so capital is higher than depreciation. Secondly, with the consolidation of our customers and the fact that they’re getting strong as I said before not necessarily we see the same trend that we were able to get up front payment as we had in the past. Some of the managed services deals we’ve signed in the past included organization and other factors that not necessarily matching in terms of the progress of the [unintelligible] payments. As we said in the past, we do expect overall cash flow for the year to be better than ’07 and the cap ex will continue to be at similar level overall for the year to what we saw in 2007.
Operator: Thank you, we’ll take our next question from Jason Kupferberg with UBS, go ahead please.
Jason Kupferberg – UBS: Thanks and good evening guys. Another question on the pipeline here. Among the deals that have yet to close that you initially identified as part of the overall bucket last quarter, are the ones that still remain outstanding still expected to close more or less within the time frames that you originally anticipated?
Eli Gelman: Yes.
Jason Kupferberg – UBS: Okay, that was an easy one. And as far as margins go, non GAAP operating margins, thinking about fiscal ’08 versus fiscal ’07, I believe last quarter the expectation was that we would see some modest year over year improvement. I’m assuming that that’s still the case, just wanted to confirm that given that you now have obviously an actual quarter under your belt and a slew of new wins.
Tamar Rapaport-Dagim: That’s still the case, we still expect modest improvement overall for the year versus ’07.
Operator: Thank you we’ll take our next question from Tom Roderick with Thomas Weisel Partners, go ahead please.
Tom Roderick – Thomas Weisel Partners: Hi, thanks and good afternoon. Dov, Eli, you both mentioned things of nice growth out there in the emerging markets, can you offer some quantification regarding what percentage of revenues you’re seeing from some of these emerging markets, maybe specifically focusing on the big ones like Brazil, Russia, India and China and can you give us some sense as to how fast those segments are growing for you?
Tamar Rapaport-Dagim: Tom, overall, we see short of 10% the emerging markets out of total revenue so while it’s a fast growing segment for us, starting from a lower baseline, we see progress in Latin America, in Africa, in Southeast Asia, so it’s based on many regions, not only one and on many customers, existing ones as well as new [logos].
Tom Roderick – Thomas Weisel Partners: Okay great and Tamar, a question for you here just on some of the bigger deals you signed last year, maybe specifically thinking about the AT&T deal that was originally signed back in April of ’07. Can you give us a sense for whether that from a margin standpoint, that has begun contributing in a positive manner to the overall operating margin structure and then as we look at the new AT&T deal, how many quarters would you think it should be until we start seeing that contract contribute positively to the overall corporate structure on margins, thanks.
Tamar Rapaport-Dagim: As we always say, the initial period of the deals and it’s typically one to two years, have some pressure on the margins and we see the improvement over time. I cannot relate specifically to one quarter versus the other. What I can definitely say is that we’re on track in terms of the improvement versus what we planned originally when we went into the deal.
Operator: Thank you, we’ll take our next question from Will Power with Robert W. Baird, go ahead please.
Will Power – Robert W. Baird: Great, thanks for taking the question. I guess maybe two parts on Sprint. Of course last week announced a round of cost cutting, reducing internal headcount and also suggested they’re going to rely less on outside contractors and I guess I wonder how you’re assessing the risk verse opportunity there and whether you have any early indications from Sprint as to how that might impact you?
Eli Gelman: Will, in Sprint, maybe I’ll use a few data points. First of all the conversion project is going well and on track. We don’t see any slowdown to that because that’s an important component of Sprint’s strategy and we do not expect any changes there. In general we provide Sprint with a mission critical systems whether it’s the call center or the billing and other components of their business. So we assume right now that all the work that we planned for this fiscal year we’ll recognize and we’ll complete the work. We are basically believe that they may cut in some areas but we are as important to Sprint today, maybe more than ever and the new project, we are basically taking them with some probability into new project. In any case, all the revenue and the projections we have forward for Sprint are in the forecast that we provided for Q2 and the rest of the year.
Will Power – Robert W. Baird: Okay and then how should we think about the margin impact of the Sprint zone deal, I mean is that typical of other deals where you’ll have some and maybe not dissimilar from AT&T, where you’ll have some up front margin pressure, any color there?
Eli Gelman: It’s a license and services deal and it should be normal deal for us. It’s not similar to the managed services AT&T deal.
Operator: Thank you, we’ll take our next question from Marianne Wolk with Susquehanna Capital, go ahead please.
Marianne Wolk – Susquehanna Capital: Thanks, Dov I had a question for you. The last time we saw economic pressure back in that 2001-2002 timeframe, it started to show up in the software license area, I believe first and I just wanted to get some assurance that that’s not why we’re seeing softer license revenue this quarter and to that end when you’re talking about a rebound in licenses in the March quarter, are you talking about going back to September’s level or more of a modest pickup from where we are now? And then the second question I had was more about the cable business that you had described last quarter, this large deal that was out there, is that currently in the reported backlog or do you expect that maybe to be signed over the next few quarters and is there anything hold up that deal? Is there any economic reason why that might not be signed? Thanks.
Dov Baharav: Okay, so well you should refer to the history and first of all when we are looking at our activity result customer we see a strong demand to our customer to our services and our products and when we are analyzing the performance of some of our customers like AT&T and Vodafone and others, we do not see what we have seen in 2002. However, I think that Amdocs today is not Amdocs of 2002 and when we are ready for maybe a weaker market, our managed services activity is much larger and strong, with the deal that we’ve signed so and given the long term agreements and the fact that that provides cost cutting to our customer actually guarantees a level of revenue, level of margins and growth because if you compare what we have now and what we’ll have it might actually create growth in an environment that might be that it’s not so strong. Secondly, the offerings that we have today to the market to our customers that enables them to compete better and for example the CES 7.5 is another strong element that might help us in moving forward. Now we have consulting which we didn’t have before, we have the OSS that we didn’t have before, we are focusing on emerging markets. There is growth in the emerging market. The growth in emerging market will continue and that is another growth area. So when we are looking at all of this element, we feel that we are well equipped and given the wins that we have in Q1 which are quite substantial, we reiterated the guidance for 2008 after very detailed discussions. We are not good at proof but in I would say in a challenging environment, Amdocs is very strong ability to be resilient to the challenges in the market and looking at the numbers as we see them today and the discussions that we have with the carriers today, we see growth in 2008 and acceleration growth in the second half of the year.
Operator: Thank you, we’ll take our next question from Ashwin Shirvaiker with Citigroup, go ahead please.
Ashwin Shirvaiker – Citigroup: Hi, thank you and nice quarter. My question is with regards to the Vodafone business that you have. Is Vodafone’s acquisition in India automatically part of your backlog or will you have to negotiate that particularly with IBM because that can be a pretty big deal for you guys.
Eli Gelman: Yes Ashwin, unfortunately nothing comes automatic for us. So it’s not in the backlog and we would have to work on it separately as we do with any new components of course of Vodafone.
Ashwin Shirvaiker – Citigroup: Okay and as you look at your pipeline beyond the broadband deal, what functional areas are clients looking at more, I mean I know you mentioned cost cutting becomes more important but [unintelligible] was exceptionally strong over the last 12 months and [unintelligible] finally coming through, what areas are [unintelligible] grow from top three areas down, what would those be?
Eli Gelman: I would not say that we can rank it by priority but we do see in the pipeline CRM and cell service deal, we see new bidding including the EPC, the enterprise product catalog which is a unique product of Amdocs and we see OSS and other network related OSS and BOSS we have several components in these product lines. And basically what we have today is these three applications sit on top of that, we have managed services which is in a way a cross application and consulting services which is cross applications so you can measure it these two dimensions maybe.
Operator: Thank you, we’ll take our final question from Daniel Meron with RBC Capital Markets, go ahead please.
Analyst for Daniel Meron – RBS Capital Markets: Hi, this is Tom [Erwick] I’m calling for Daniel Meron. I’d like to ask about the new engage ascend open innovation initiative you’ve recently launched and could you elaborate on how this goes into the future of Amdocs, how do you see this going to your strategic plans?
Dov Baharav: Well for those of you that have not heard about this idea, Amdocs is leveraging its presence in the market and the relationship with the major carriers by bringing some small technology companies and R&D and startups and help them to bring their ideas to the carriers. That might help us in enriching our offering, helping our customers and that can be a win-win for the carriers, the operator, for the startups or the small companies and for Amdocs by increasing our revenue, enriching our offering and providing us some upside. So this is some activity that is part of our R&D effort that where we by that actually enriching our offering and we have now very innovative offer to the market and by engaging all these start ups with their ideas, we are shortening time to market and by that actually being able to offer faster, better solutions to our customers to generate revenue and be successful in this market.
Analyst for Daniel Meron – RBS Capital Markets: Okay and on a final note, would you consider this initiative to be some sort of M&A opportunity?
Dov Baharav: Well, in the past we invested for example in [cigralyou], a minority investment and as a start up and later on we bought it. So it might happen again, yes, we might invest here and there a very small amount of money which might be [unintelligible] later on to a full M&A opportunity.
Operator: Thank you, that concludes the Q&A session today, at this time I’d like to turn the call back over to the speakers and the host for today’s program for any additional or closing remarks.
Tom O’Brien: Alright, on behalf of Amdocs, thank you very much for attending, this concludes the call tonight.
Operator: This concludes today’s teleconference, you may now disconnect and have a nice evening.